Operator: Good day and thank you for standing by. Welcome to the Westrock Coffee Company Third Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Robert Mounger.
Robert Mounger: Thank you, and welcome to Westrock Coffee Company's third quarter 2024 earnings conference call. Today's call is being recorded. With us are Mr. Scott Ford, Co-Founder and Chief Executive Officer; and Mr. Chris Pledger, Chief Financial Officer. By now, everyone should have access to the company's third quarter earnings release issued earlier today. This information is available on the Investor Relations section of the Westrock Coffee Company's website at investors.westrockcoffee.com. Certain comments made on this call include forward-looking statements, which are subject to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management's current expectations and beliefs concerning future events and are subject to several risks and uncertainties that could cause actual results to differ materially from those described in these forward-looking statements. Please refer to today's press release and other filings with the SEC for a more detailed discussion of the Risk Factors that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. Also, discussions during the call will use some non-GAAP financial measures as we describe business performance. These SEC filings as well as the earnings press release provide reconciliations of these non-GAAP financial measures to the most directly comparable GAAP measures. And with that, it is my pleasure to turn the call over to Scott Ford, our Co-Founder and Chief Executive Officer.
Scott Ford: Thank you, Robert, and good afternoon, everyone. It's a pleasure to be with you, and I appreciate you spending a few moments with us getting updated on our progress. Westrock Coffee Company had a strong third quarter despite what continues to be a challenging macroeconomic environment for the consumer. Our quarterly segment adjusted EBITDA for Beverage Solutions was up 19% year-over-year and is now up 20% year-to-date over last year, right on track with our previous guidance issued last quarter. Likewise, our Sustainable Sourcing & Traceability segment is up 45% year-over-year for the quarter and 132% year-to-date. This is the third consecutive quarter of impressive combined segment year-over-year performance, which is all the more satisfying as it is essentially solely driven by improvements in our base business as the Conway extract and RTD plant will not see substantive revenues until early 2025. While our single-serve cup business remains soft as consumers continue to shop down in packaging size, these volumes have seen a slight uptick recently, and we have received major new customer volume commitments for next year that should create a material volume and profit lift for this unit. Additionally, as I explained on our second quarter call earlier this summer, we made the decision to extend the start-up date for one of our larger customers in our new Conway extract and RTD plant by about six months to nine months. This decision, while neutral to accretive in the long-term, compounded our current run rate pressures throughout fiscal 2024, and we had to work hard to overcome this added pressure. Fortunately, because of the team's great efforts, we are now quite pleased with our financial position as we move from product launch approvals into commercial production in Conway. While painful short-term, refusing to be pedantic and nearsighted with our customers as they adjusted to shifting consumer behaviors has now secured us major new customer volume commitments for next year in single-serve cups and garnered us a contract extension in ready-to-drink. These type of accommodations to large customers are never popular, and they beat and raised this quarter's numbers market dynamic, but they are the path to compounding value over the long-term. Turning now to what is new news since we last presented, which is the completion of a vast array of new contracts and agreements that have been converted into finished product production schedules with volumes by customer, SKU, date, and machine. This SKU production schedule obviously grants us much greater clarity into our monthly financial forecast beginning in January of 2025 than we have ever had before. The sales and customer onboarding work that the team has excelled at over the past two years is nothing short of phenomenal and has resulted in more than a dozen new customers who begin commercial volume purchases in the first quarter of 2025. To understand the impact of these contract wins, I will simply offer one proof point. Once fully onboarded, these new customers combined are expected to produce more annual EBITDA than the entirety of our current base business. This is the promised earnings power of the Conway extract and RTD plant coming to fruition as this facility transforms from a construction and product development project into a field operational production facility. Importantly, the production in Conway has two elements for each individual product, the start date and the slope of the scale-up ramp. So when we look at 2025's consolidated adjusted EBITDA, we have the new run rate for single-serve accounted for in our 2025 forecast. We have the large can line sold out and scheduled for full production late in the first quarter of 2025; the second can line largely sold out and beginning commercial production in the third quarter of 2025; and the glass line sold out and going into phased-in production between the third quarter of 2025 and the first quarter of 2026; finally, the multi-serve bottle line is expected to continue at 50% to 75% of capacity throughout the year 2025. This production schedule in Conway results in a heavier volume run rate in the back half of the year than in the first half simply due to the combination of the start date and the scheduled ramp-up slopes. Chris will take you through the various detailed performance and guidance data in just a moment, but let me summarize the financial and value creation impact of the update I've just given you. In 2024, and as discussed on our call last quarter, we expect to end the year at the bottom of our previously announced guidance range. While we had higher expectations for volumes this year, the team has done an exceptional job delivering on the things we can control. The consumer will strengthen. Our single-serve volumes are already coming back. We have accommodated the largest brands in the categories. We have been awarded additional volumes and contract extensions, and we are set for a great financial return from our Conway plant investment. The combined results of our base business operations, substantive cost controls we are now executing across the company as we exit the Conway start-up mode and enter a more normal production environment, coupled with the expected results from the Conway production schedule I just walked you through, should see us generate consolidated adjusted EBITDA of between $80 million and $100 million in our updated presentation format for 2025. With that, I'm going to turn the call over to Chris Pledger, our CFO, so that he can take you through the details of our third quarter and guidance update. Then I will rejoin you in order to give you an update on our strategic positioning as we prepare to kick off 2025. Chris?
Chris Pledger: Thanks, Scott, and good afternoon, everyone. Before I dive into our quarterly results, I'd like to highlight the change in presentation of our consolidated adjusted EBITDA that we noted in our release. We have historically excluded Conway extract and ready-to-drink facility start-up costs from our presentation of consolidated adjusted EBITDA. Those start-up costs include two categories. The first category is preproduction costs, which are non-capitalizable costs necessary to place our production and packaging capabilities into commercial production. And the second category is comprised of scale-up operating costs, which represents certain recurring operating costs incurred once the capability is placed into commercial production but before completion of production scale-up. In response to a comment letter from the SEC staff, beginning with these third quarter 2024 results, we no longer exclude the second category, scale-up operating cost, from our presentation of consolidated adjusted EBITDA. As a result, we've revised our year-to-date presentation of our consolidated adjusted EBITDA to account for the impact of scale-up operating costs in prior periods. Because we did not commercialize any of the Conway facility prior to our second quarter of 2024, there's no impact of scale-up operating costs in any prior period other than the second quarter of 2024, in which we incurred $1.2 million of such costs. While we've adjusted our presentation of consolidated adjusted EBITDA, we've not made any changes to our presentation of segment adjusted EBITDA, which is the segment performance measure we use to assess the performance of our operating segments. Segment adjusted EBITDA is defined consistently with consolidated adjusted EBITDA, except that it excludes scale-up operating costs related to the Conway facility. As we continue to commercialize and scale the Conway facility over the next year, we expect the subtotal of our segment adjusted EBITDA will converge with consolidated adjusted EBITDA. With that, I'll now turn to the results for the quarter. On a consolidated basis, net sales for the third quarter were $220.9 million, flat to the third quarter of 2023. Consolidated gross profit for the quarter was up 5.8% over the third quarter of 2023 primarily driven by increased gross profit growth from our SS&T segment. Consolidated adjusted EBITDA for the quarter was $10.3 million and was burdened by almost $4 million of Conway scale-up operating costs related to our multi-serve bottle roasting and grinding and extraction capabilities. This compares to consolidated adjusted EBITDA in the third quarter of 2023 of $11.6 million, which included no Conway scale-up operating costs. For context, historically, we would have added back the $4 million of Conway scale-up operating costs into our third quarter 2024 consolidated net sales, which is a decrease of approximately 7% compared to the third quarter of the prior year. Consistent with prior quarters, we continue to see strong results from our flavors, extracts and ingredients platform with 7% sales growth, while volumes remained under pressure in both core coffee, down 6% from the third quarter of 2023; and single-serve, down 24% from the third quarter of 2023. Despite the drop in net sales, Beverage Solutions segment adjusted EBITDA increased almost 19% to $11.8 million, and our segment adjusted EBITDA margin for Beverage Solutions was up 157 basis points. In our Sustainable Sourcing & Traceability segment, sales, net of intersegment revenues, were $56.9 million in the third quarter of 2024, an increase of 33% compared to the third quarter of 2023, due to a 36% increase in volumes. SS&T segment adjusted EBITDA for the quarter was $2.5 million compared to segment adjusted EBITDA of $1.7 million in the third quarter of 2023. Moving on to capital expenditures, during the third quarter, we deployed approximately $36 million of CapEx primarily related to our Conway extract and RTD facility. Through the end of the third quarter, we spent approximately $275 million of the anticipated $350 million on our Conway facility. We expect to spend approximately $30 million in the fourth quarter of 2024 and the balance in the first half of 2025. We also plan to spend an additional $20 million in capital expenditures in Conway to install a second RTD can line, which will put into service in the second half of 2025. At quarter end, we had approximately $90 million of consolidated unrestricted cash and undrawn revolving credit commitments, and our leverage continues to be in line with our expectations. As previously reported on September 30, we completed our warrant tender offer, exchanging all of our private placement warrants and over 97% of our public warrants, issuing 5.4 million common shares. In connection with the exchange offer, we obtained consent from the requisite number of warrant holders to amend the warrant agreement that allowed the company to force exchange any warrants that remained outstanding after the closing of the exchange offers. On October 16, we exchanged the remaining outstanding public warrants by issuing approximately 100,000 common shares. As a result, there are no remaining warrants outstanding and the public warrants have been delisted. Turning to our guidance. The change in presentation of our consolidated adjusted EBITDA noted in our release and described earlier on the call also necessitates a change in the presentation of our 2024 and 2025 consolidated adjusted EBITDA guidance. With that in mind, we expect to report $50 million of consolidated adjusted EBITDA in fiscal year 2024 under our new presentation. This includes $10 million of scale-up operating costs associated with the Conway facility. This expectation correlates with the low end of our previously announced range. The big drivers of growth that underpinned our original 2024 guidance were continued sales growth in flavors, extracts and ingredients; strength in single-serve cup volumes being delivered on a platform that now has all the equipment necessary to efficiently produce the volumes; and the material scale-up of sales of RTD cans and glass bottles from our Conway facility in the third and fourth quarter of 2024. While flavors, extracts and ingredients had a big year, the challenging macroeconomic environment for the consumer has negatively impacted our single-serve cup volumes and the sales ramp of our extracts and RTD products out of our Conway facility, leading us to the low end of our original 2024 guidance. While we still have to complete our 2025 budget work, preliminarily for fiscal year 2025, we expect to generate consolidated adjusted EBITDA between $80 million and $100 million under our new presentation. This includes approximately $10 million to $15 million of scale-up operating costs associated with the Conway facility. The year-over-year growth and the variability within the 2025 guidance is driven by volume growth in the company's core coffee business from new retail customers, many of whom were onboarded in the back half of 2024; new volume commitments from existing single-serve customers and our expectation for new single-serve customer wins in 2025; the full year benefit of expense savings from our cost reduction and facility consolidation efforts; and the rapid scale-up of our RTD can volumes beginning in the first quarter of 2025 and continuing throughout 2025; and the launch of our RTD glass products in the third quarter of 2025. We will update this guidance as part of our fourth quarter call. With that, I'll turn the call back over to Scott for some closing remarks.
Scott Ford: Thank you, Chris. Now I'd like to take a few moments before we open the call to questions to give you all an update on the strategic accomplishments this team has delivered on over the past 24 months that will begin to flow through our financial results and the context through which we look at this entire Conway plant build endeavor. I believe that owning Westrock Coffee stock is not only an investment in this Board, executive group and operating team, and whatever short-term bounces we encounter as we build this business, but is essentially a bet on a set of powerful global consumer and capital market trends. After recently completing a two-day strategic update session with our Board, we are more convinced than ever that we are at the leading edge of three mega trends, which are going to create significant value appreciation opportunities over the next few years for the shareholders of West. First, the continued generational transition from hot to cold, coffee, tea and energy beverages. Secondly, the rapid transition to high-quality extracts being the crucial core ingredient in these beverages rather than each beverage being individually brewed, steeped or mixed by time-pressed consumers or baristas. And finally, the continued capital efficiency focused move from the historically vertically integrated business model of branded companies to the more flexible and higher-returning outsourcing to specialized manufacturers by branded packaged food and beverage operators. We not only believe that we are at the forefront of these dynamic trends but have some tangible proof to offer up to you and testimony to this fact. We originally targeted four to six CPG and private label retailers as customers for our new Conway extract and RTD facility. We have now contracted with well over a dozen such brands. We were awarded over 80% of all the contracts we competed for in 2023 and 2024 for our new Conway facility, all of which began production at commercial volumes in 2025. The Conway plant is now essentially sold out, and our sales team now spends most of its time selling the 2026 through 2027 expanded production capacity. So it is built and it is sold out. And if we deliver the production volumes as planned, we are not trading at a premium to our peers but at 25% to 30% of our implied comparable valuation. I believe this perspective is the most essential view one needs to come to terms with when considering our business. Additionally, we are asked what is the potential earnings power of our assets as they sit today after two years of plant expansions and additions. The answer is approximately $150 million to $180 million today but we also have room for multiple more packaging machines to be added over time. So while we do not report out on who our customers are, we can give you ever more informed estimates of what those contracts produce at the EBITDA line. And I hope, thereby, you can see why we remain so bullish on this business and our stock price over time, irrespective of the short-term gyrations of the stock market. We have a very seasoned and informed ownership group and Board who today still own 96% of all the stock they own the day we went public two years ago, and we have an inordinate number of ways to generate equity value over the next few years. In order to help ensure our delivery of this potential, today, we announced that we are adding a new Vice Chairman of the Board, Ken Parent. Ken is the former President of Pilot Flying J. He's a seasoned executive who helped build Pilot from a regional travel center operation into a nationwide multibillion-dollar enterprise. We are all extremely excited he'll be joining us as we move from the construction and product approval phase of our Conway facility into commercial production. I'd like to thank each of you who have partnered with us in this endeavor and are now glad to open the microphones up to take a few questions from those of you who may have them. Thank you very much. Operator?
Operator: Thank you. At this time, we'll conduct a question-and-answer session. [Operator Instructions]. Our first question comes from Todd Brooks at The Benchmark Company. Your line is open.
Todd Brooks: Hey, thanks for taking my question. Scott, just looking out to fiscal 2025, and obviously, the way you laid it out, the visibility is entirely different than what it was coming into 2024. But with contracts with 12 major kind of CPG companies out there that you talk to, what guarantees the slope of the ramp over 2025? If there's another case that a major client needs to push the launch of a line or their product on your line, when and what are the things that kind of start to deliver revenue on expectations with what the contracts are calling for? Thanks.
Scott Ford: Sure. It's a terrific question. And I think there's two or three things here that are worth making sure everybody understand. First of all, the push that we gave to the client that we talked about this year was a rather rare situation, and it had to do with the timing of contracts where they're coming out of other facilities and coming into ours. They were also, at that point in time, on the low end of their volume ramp. And rather than just being a jerk about it, we moved and faded the heat to let them finish up with some other people that provide them product today. And I think it was the right long-term strategic move for us. And I think it was greatly appreciated, and we picked up a contract extension on the backside for doing that. I'll also say we picked up new products in the SKU from that very client for having been an accommodative, helpful partner. So that is going to more than pay for itself back in time. I think beyond that, it's important to understand that in the traditional roast and ground business and in the single-serve business, although slightly less so, historically, we hold volume commitments for customers. And then if they don't pull them down and fill them, we alone eat the cost of having had the machines and the people and the materials ready, and there is no penalty if they don't pull all of their product down. That's not the case in the ready-to-drink and extract business in Conway where either people are going to pay for product on a take-or-pay basis within a range, up and down, or they will experience an increased price for the lower volumes. And I think those are the two most important things to take away from the nature of the contracts in this particular situation. I'll then say the nice thing about the contract is it forces the teams to sit down and work together on the dates. And the dates have multiple milestones before you ever get into production. You have to go through all the product development, the approvals, the line approvals, the water approval, the bacteria counts, then you have to go through all of the various checks. And then only after that can you get into production. Well, instead of pushing people to get into commercial production in 2024 and then having to stop the lines in 2025, we decided this year, given the push out of one large customer, to push everybody out, to spend this year getting everybody ready, so that when we turn it on in 2025, a later start date, we have an immediate absorption and we go straight to essentially full capacity on a run rate basis. So the slope of the take-up is straight up, if you will, as we turn people on in the first quarter. I hope that's helpful.
Todd Brooks: That is. And just a follow-up, and then I'll hop back in the queue. Does that imply then, is acceptance work still happening in 2024? So when you talk about really turning things on in the first quarter of 2025, are we turning on straight into commercialization? Or is there still an acceptance window that we're going to have to work our way through in the first half of 2025? Thanks.
Scott Ford: Yes. So new products have to go through acceptance on their own. We are continually getting new products; new SKUs, new formats, and we will have to work some of those in. But the numbers that we've laid out for you reflect commercial production of things that we have already taken through the approval process in 2024.
Operator: Our next question comes from Eric Des Lauriers at Craig-Hallum Capital Group.
Eric Des Lauriers: Great. Thank you for taking my questions. First one for me, on the EBITDA growth drivers for next year, you cited new core coffee retail customers, new volume commitments and new customer wins in single-serve. I guess, I was just a little bit unclear on which of those were sort of already secured or signed and then which of those may be anticipated, but not exactly over the finish line yet. If you could just help me understand that.
Chris Pledger: So if you start in kind of the retail coffee, if you start in the core coffee roast and ground business, we've onboarded new roast and ground retail customers in the back part of this year. And so that's volume that's pulling through and positively impacting the P&L in the back half of this year. We'll get the full year benefit of it next year and also have new volume coming on through those customers and others. So there's growth in our roast and ground business, which is something to be excited about. It's a scaled platform and it needs volume. So pushing volume through it is good for the overall economics of that platform. On single-serve, we've got new volume from existing customers that start in the first part of next year and then an expectation for a new contract win in next year that will increase the volume over that platform. We'd also expect to see, and have seen kind of in the beginning of the fourth quarter, some return to normalcy around single-serve cup volumes. That's been soft, obviously, through the second and third quarter, but we're seeing a little bit more volume thus far into the fourth quarter. And so I think the combination of those things makes the single-serve platform, quite frankly, return to and become kind of the -- our ability to generate the earnings power off of that platform, you'll see that in 2025.
Eric Des Lauriers: All right. That's helpful. And then my follow-up is just kind of on the single-serve cups and the sort of rebound that you've seen so far. You just kind of touched on it a little bit, but I'm wondering if we should think of this as sort of a return to sort of year-over-year growth at this point or sort of plateauing and the decline has improved. Just wondering if you can kind of flesh that out a bit more for us.
Scott Ford: Sure. This is Scott, Eric. I think Chris was right on in his description of the nature of the volume moves. I'll try to summarize for you maybe in between the nature and the EBITDA impact. What we're seeing in the cup space on a like-for-like DC-for-DC basis is starting to firm up just a bit, which is what Chris was talking about. What we have been informed of is we are winning more DCs, if you will, from current customers. And then we have new customers coming in, and then we have customers that we did a small amount of business for this year that have new sales into next year. And so it's quite possible that you're looking at a business that the industry is growing small single-digits. And we would be perfectly comfortable with that. But right now, we're looking at being up 60% to 80% in our cup volumes next year, if everything comes to pass that we're talking about at this level. And we have not assumed all of that in these numbers because like you, we want people to be pleased that we beat numbers instead of miss them. But we're talking about being on the cusp of a really important step-up in the scale of that single-serve platform as more and more customers add to us and more and more new customers come to us.
Operator: Our next question comes from Matt Smith at Stifel.
Matt Smith: Hi, good afternoon. Thank you, Scott and Chris, for taking the question. When you talk about Conway more than doubling the EBITDA base of the existing business, just a point of clarification here, is that for the lines you expect to be operating exiting 2025? Or is that specific to the orders you expect to have up and running in the first half? I'm just trying to understand the doubling of the base business EBITDA versus, Scott, your concluding comments about the earnings power being more in the $150 million to $180 million range.
Scott Ford: Yes. Great question. To parse that, the earnings power of the customers that we have sold, if they were all starting on January 1 and they all went through December 31, we would be reporting a much higher EBITDA guidance range than $80 million to $100 million. Exactly what that would be, we're finishing all the work on that. So the fact that some of them start later in the year, even some of them that start early in the year, add SKUs through the year, we've already walked you through the glass line, it doesn't come on until the third quarter, it then goes through a three-quarter ramp. So when we take all of that beginning date and the slope of the ramp-up in, you get to $80 million to $100 million. If everything had started January 1 and everything was fully onboard, we would be closer to $150 million.
Matt Smith: Thank you for that, Scott. And as a follow-up, you previously talked about kind of an exit run rate in 2025. I realize you have more moving parts now given the nature of scale-up costs. Are you able to provide any color on how you view an exit of 2025? Or does the slope and the scale-up cost kind of obfuscate your ability to have visibility into that?
Scott Ford: No. I think the numbers that we're kicking around, plus or minus, I think we said last quarter, it should be $125 million to $150 million on the back-end run rate. I think that's still the right number. And frankly, it may be on the high end of that.
Matt Smith: Thank you, Scott. I’ll leave it there.
Scott Ford: I'll give you one interesting tidbit, Matt, on this point. I think it might help. If you look at our top 25 customers for next year, 12 of them do no business with us in 2024 and are all coming in, in 2025. Half of our top 25 customers are brand new to the business. We've never even reported a substantive dollar of revenue from them. It's completely different than the business we've been running.
Operator: Thank you. Our next question comes from Sarang Vora.
Sarang Vora: Great. I have two questions. I'll start first with the single-serve. Can you help us take a deeper dive into what's happening? Like the volumes have been down like 20%, so can you help us understand what is happening there? Are you losing customers? Is there a shift in how consumers shop? Just curious to know, like just a deeper dive, on the volume declines in that business. And then I have a Conway question after that. Thank you.
Scott Ford: Sure. Sarang, I think at its simplest level, the consumer is down on an apples-to-apples basis in single-serve. We've been down roughly 10% to 12% in volume of cups, and that's because they've gone down from a larger pack size to a smaller one. So they're still shopping, they're still shopping every week, but they're buying in smaller packets and they're stretching it out to make it work. In and out of the actual consumer flow-through on an apples-to-apples basis, we've had some places where we lost DCs, which we had in the beginning of the year, and that's part of our volume drop year-over-year. That's the biggest part of it, I think. And then we have recently won a bunch of new DCs that will come in, in the first part of next year, and that, that bridge is what we're trying to help people walk their way through. Pledger, what else would you say on that front?
Chris Pledger: I think that's true. I think you -- continue to see kind of at-home coffee consumption has been a little muted this year. That's not unique to our business. You've heard other folks talk about it. But I think you're also seeing is kind of the inflation gap between in-home and out-of-home lessens. As that gap gets smaller, I think you'll see -- you'll continue to see more growth in the at-home space.
Sarang Vora: Got it. And I have a question on the Conway, and maybe I'm sure you ran through the scenarios. But for that one large customer, we are pushing off the production for like next year and even a bottling plant in third quarter, so does it not upset some of your other 11 customers that you are trying to win? Does it not push them off? Second question is, does it not like -- can you not run shifts for the can line, which I think is almost ready when I last saw it over the summer. So can you not run shifts on the production line? Or it is just ideal mathematically to pull it off? I'm just curious to know the thought process.
Chris Pledger: No, it's really around being able to complete the commercialization work for all of the customers so that as we start 2025 from a -- on the can line, from a can volume perspective, that we're starting a very steep ramp on sales volume as we start 2025. The exciting thing is the first can line, like Scott said, is sold out. As that can line ramps in the first half of the year, we have the second can line that will start towards the beginning of the second half of the year. That's able to off-take volume off the first so that we can increase the speed of the first and have new volume throughout the year. So the volume sales ramp on our can products is going to increase throughout the year, which gets you to the exit velocity that Scott was talking about first. And so the push out of the other customer doesn't really impact the rest. It's just really about making sure that from a timing perspective that we got, that was going to be our big customer for cans in the fourth quarter of this year and kind of into the third quarter that volume is not going to be there. That's going to start in the first quarter of 2025. And so we're taking the time to make sure that we're ready for all of them. So as 2025 kicks off, we're ready to roll.
Operator: Our last question comes from Bill Chappell at Truist Securities.
Davis Holcombe: This is Davis Holcombe on for Bill Chappell. So we've been hearing from some other companies that the RTD coffee category is slowing, and we were just wondering how that might be impacting your business or the contracting process or your outlook going forward.
Scott Ford: Yes. Well, one of the things that these guys at a large scale have is they have multiple places to have product manufactured. And so whether the market is growing 8% or shrinking 8%, just like in the single-serve cup example a minute ago, the important thing is that we take share. And then if the market grows over time, you take share in a growing market. That's how you really stack chips up. So we've been taking share and that share coming on is enough to double, triple, quadruple our earnings over the next short few number of years just from the share that we've won irrespective of what the category in the whole is doing.
Davis Holcombe: Got it. Thank you.
Scott Ford: And my point was on single-serve. Single-serve can be growing 2%, and we're likely to grow 60% next year from share, right? It obfuscates in the short-term. And especially when you're turning something on, it dwarfs the leg in dwarfs the machinations of the movement underneath it.
Operator: Thank you. This concludes the question-and-answer session. I would now like to turn it back to Scott Ford for closing remarks.
Scott Ford: Well, thank you, guys for getting on the phone. We appreciate it. Thank you for your questions. You know where we are. I'd be glad to answer any follow-ups that you've got. And we -- I know that this is a busy time of year, and we will wish you all a good evening. Thanks so much.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.